Operator: Good day and welcome to the Streamline Health to announce third quarter 2014 financial results December 9, 2014 conference call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Randy Salisbury, chief marketing officer. Please go ahead.
Randy Salisbury: Thank you for joining us to review the financial results of Streamline Health Solutions for the third quarter of fiscal year 2014, which ended October 31, 2014. As the conference call operator indicated, my name is Randy Salisbury. As Senior Vice President and Chief Marketing Officer here at Streamline Health, I manage all communications, including Investor Relations. Joining me on the call today are Bob Watson, our President and Chief Executive Officer and Nick Meeks, our Senior Vice President and Chief Financial Officer. At the conclusion of today's prepared remarks, we will open the call for a question-and-answer period. If anyone participating on today's call does not have a full text copy of the release, you can retrieve it from our company's website at www.streamlinehealth.net or at numerous financial websites. Before we begin with prepared remarks, we submit for the record the following statement. Statements made by the management team of Streamline Health Solutions during the course of this conference call that are not historical facts are considered to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and are subject to risks, uncertainties, assumptions and other factors that could cause actual results to differ materially from those reflected in the forward-looking statements included herein. Please refer to the company's press releases and filings made with the U.S. Securities and Exchange Commission, including our most recent Form 10-K reports, for more information about these risks, uncertainties, assumptions and other factors. Participants on this call are cautioned not to place undue reliance on these forward-looking statements that reflect management’s analysis only as of the date hereof. The company undertakes no obligation to publicly revise these forward-looking statements. On this call, the company will discuss non-GAAP financial measures such as adjusted EBITDA. Please refer to our website at streamlinehealth.net and our earnings release for a reconciliation of such non-GAAP measures to the most comparable GAAP measures. Management uses certain non-GAAP measures to evaluate and monitor the ongoing financial performance of our operations. These non-GAAP measures do not include certain items of income and expense that affect operations and other companies may calculate these non-GAAP measures differently. With that said, let me turn the call over to Bob Watson, President and Chief Executive Officer. Bob?
Bob Watson: Thank you, Randy, and good afternoon to all of you participating on today’s call. I want to begin my remarks today by addressing a question raised during our recent analyst day in our New York City office during which we demonstrated, in concert with several clients, the power of our Looking Glass solutions. The question on many analysts’ and investors’ minds that day seemed to be, how big is this bread box? What is the real market opportunity? There are many ways to look at our market opportunity. We can take each of our four primary solution suites: patient engagement, patient care, financial management, and HIM coding and CDI, and size each category. For example, we believe that our patient engagement solutions, primarily in the area of enterprise-wide scheduling and resource management, has a total market opportunity over the next five years of approximately $380 million. This is based upon data provided by Definitive Healthcare focusing on the 2000 hospitals that still do not have enterprise scheduling and further narrowing the focus to only those hospitals with 100 to 400 beds as our primary target client. With regard to our patient care solution suite, which is primarily our clinical analytics solution, we believe the market opportunity is far greater. According to Mordor Intelligence, in their “Clinical Data Analytics and Healthcare Growth Trends and Forecasts 2014 to 2019,” they estimate the global clinical data analytics market will grow from $2.25 billion to $12 billion from 2014 to 2019, representing a 44% compound annual growth rate. Of that, the North American region will be the market leader, representing 55% of the total dollar volume, followed by Europe at 28%, Asia Pacific at 11%, and the rest of the world at just 6%. However, this is a very nascent market, so I would expect this segment to be back end loaded in the sizing. Nonetheless, it is a very intriguing area where we are beginning to see material near term sales results as represented by our Q2 sales to the Veteran’s Administration and the Q3 sale to NantHealth. With regard to our HIM coding and CDI solution suite, Frost & Sullivan estimates the global ECM market will grow at a 14% compounded annual growth rate between now and the year 2020, from $285 million today to $715 million in 2020. Further, Frost & Sullivan estimates the U.S. market for ECM will reach $357 million by 2019. Finally, with regard to our financial management solutions suite, primarily Financial Analytics and Revenue Cycle Management Workflows, we estimate the market opportunity in the North American market to be approximately $600 million by the year 2020. This estimate is based on a Gartner Analytic Ascendancy Model published in 2013 targeting 2,000 hospitals with 100 to 400 beds. The total market opportunity for all of our solutions over the next five plus years in North America alone is estimated to be approximately $7.9 billion. One last point on market sizing: another way to look at our market is simply in the analytics arena. We are unabashedly a datA - driven solutions provider, so this position strikes me as fair and reasonable. As you know, if you’ve been to our website, our corporate tagline is “transformational datA - driven solutions for healthcare.” It is our Looking Glass platform that drives this and provides the return on investment, or ROI, that our clients seek. In this area alone, according to “Markets & Markets: Healthcare Analytics, Medical Analytics Market by Application, Clinical, Financial, and Operational: Trends and Global Forecasts to 2020,” published in December 2013, the global healthcare analytics market over the forecast period of 2013 to 2020 is estimated to grow from $4.4 billion to $21.3 billion. Suffice it to say, we believe there is ample opportunity for our Looking Glass solutions to thrive in this marketplace. Before I comment on our third quarter performance, I thought I would also share some of the client commentary generated by the analyst day previously mentioned. We were fortunate to have a nice cross section of our clients participate in the demonstrations of our solutions. Some of their comments will give you meaningful insight into the true value of our Looking Glass solutions that you would not otherwise hear. By way of background, we gave a demonstration of our enterprise-wide scheduling and resource management workflow from our Looking Glass patient engagement suite, a demonstration of our clinical analytics workflow from our Looking Glass patient care suite, a demonstration of our clinical documentation improvement workflow known as CDI from our HIM Coding and CDI suite, and a demonstration of our business analytics workflow from our Looking Glass financial management suite. In all but the last case, we had one of our client co-present the solution with us. With regard to our scheduling solution, our clients, [NIDN], in Pennsylvania, was asked if they had multiple EMR vendors in their hospital system, and if so, was it easy to work with Streamline to integrate the solution. Our client answered, “We use [Cerner] for our hospitals and [All Scripts] for our outpatient services. We’re a little bit more complicated because we select best of breed. Even though we could have probably selected something that was integrated or embedded with some of those EMR systems, we wanted best of breed, so we went looking for that. It probably took us six months to implement the Streamline health solution and test it, but we have more than 1,600 different clinical orders in our scheduling catalog, and all of them needed to be integrated into the solution from the start, from our go-live.” The point is that for healthcare systems who believe in, and follow, a best of breed philosophy, who desire to have the best applications and workflows to meet their specific needs, versus an integrated solution that may involve compromises, we are the right resource for them. Second, during our clinical analytics demonstration, our client, who is a regional health information organization, or RIO, was asked how our solution helps them with population management. She said, “We take the 2 million records we have in our health information exchange database for the entire borough and with the Looking Glass analytics solution, we’re able to compare and contrast what is going on with the medical centers that we are working with and look for patterns, look for issues, and create registries for patients across multiple organizations. “In essence, when patients get their healthcare at a freestanding health center, we are creating the capability, through the clinical analytics solution, to look at their experience at any of the three hospitals that feed us data: any other health centers they went to, their lab results, and the medication prescriptions across all of the boroughs and even their emergency departments. We can use the analytics to look at patient activity and report back to doctors and case managers at the site. “For example, before we had this clinical analytics tool, a case manager, who was managing a group of 50 to 100 diabetic patients that the hospital has an at-risk contract with a payer for, would have to go to our provider portal, look up every single one of those patients, extract the individual information, and try to figure out manually who was at risk for readmission or a bad outcome. “With the clinical analytics solution, that same case manager can focus on the five to ten patients who are at risk right now of some poor outcome or high cost event, because we push a report to them to pinpoint any patients who were admitted last week or who had a lab value that was flagged for being too high.” The bottom line of the experience of the RIO is really quite simple. The push feature drives better productivity, which results in better clinical outcomes. Our third solution demonstration involved our clinical documentation improvement workflow, and our client, NIDN in Ohio, was asked if this solution delivered a return on investment for them. She answered, “One of the most obvious benefits with the ECDI solution was to be able to get a better handle on the amount of work being completed by our billing team each day. We used to manually track a variety of items such as how many initial cases did you review today, how many inquiries to doctors did you initiate today? Now I can run those reports on those data points by individual month and no one is tallying that information manually anymore. “A second big benefit is that the report shows me what position is still delinquent in providing the information needed to close the case and bill it, and how long it has been since the request was actually generated, and more importantly, what dollars are sitting on the table that I cannot bill because a physician hasn’t answered yet. Last month, we were able to recognize more than $1.4 million that we would not have been able to bill for and recognize if we did not have this solution.” As I said at the beginning, we have terrific clients and it’s very gratifying to hear them say such nice things about the many benefits that our solutions bring them. Turning our attention now to third quarter performance, as previously released, I’m pleased to report that we set a record for new contract bookings in the quarter exceeding $21 million. I have said in both Q1 and Q2 that we would generate more bookings this year than last year, and I stood firmly by that statement. As you know, our Q3 new contract bookings puts us, in just three quarters, ahead of last year’s total contract bookings. Furthermore, the entire amount of those bookings is mainly recurring revenue, whereas last year’s bookings included over $2 million in perpetual license revenue that was recognized in that fiscal year. I have championed this strategy from day one. Namely, that when we can, we will always try to sell our clients a SaaS based or recurring revenue based contract such as a term license. In addition, as previously noted, we signed an exciting deal with NantHealth for our Looking Glass clinical analytics solution. I have mentioned before that I believe our clinical analytics solution will have a major impact on our company as more and more large healthcare enterprises seek to improve their patient care. Our clinical analytics platform is unique and superior, and when an innovative organization such as NantHealth chooses our solution, I believe it makes a very powerful statement, and one that we will leverage throughout the North American market. Turning our attention now to revenue, as stated in our press release earlier today, revenues for the third quarter were approximately $6.8 million. Recurring revenue was approximately 90% of the total revenue in the quarter, comprised of software as a service, maintenance agreements, and term licenses. Nick will provide more commentary during his segment of this call. Professional services revenue, regrettably, continues to lag our plan in the prior fiscal year. As stated in the last two quarterly calls, the lag in recognition of professional services revenue is reflective of our focus on driving unimplemented software as a service, or SaaS, contracts to go live as quickly as possible versus projects where revenue is recognized on milestones. Professional services revenues for SaaS contracts are recognized over the life of the client contract rather than in the period or periods when the work is completed. Additionally, we continue to experience some material weakness in the availability of IT resources on the client side. We are working as closely as possible with our clients to get our solutions implemented and we have seen some improvement in this metric throughout the year. There is more work to do to recognize as much of the unimplemented committed recurring quarterly revenue as possible in the coming quarters. Nick will review the specific changes in this metric from Q2 to Q3 in a minute, but clearly the unimplemented contracted recurring revenues sitting in the backlog at the end of the third quarter is both a good and a bad sign. With our record new contract bookings in the quarter, this number has gone up materially, but we remain highly focused on working it down as quickly as we can by accelerating implementations where we can. As a follow-on to the quarterly contract bookings, our sales backlog increased 23% over the previous quarterly from $61.5 million to approximately $76 million. I will now turn the call over to Nick Meeks, our CFO, to review the specifics of our third quarter financial performance. Nick? 
Nick Meeks: Thank you, Bob. I’m very glad to be talking to everyone this afternoon with a full set of financials filed in a timely manner with the SEC. Let me begin with the financial results for the fiscal third quarter. As reported earlier today, revenues for the quarter grew approximately 2% over the prior comparable period to $6.8 million. This was comprised of 11% growth in recurring revenues but an approximately $500,000 decline in nonrecurring revenues, predominantly professional services. Recurring revenue was approximately 90% of total revenue in the quarter, comprised of SaaS, maintenance, and term licenses. As Bob mentioned, each quarter we will provide visibility into our unimplemented quarterly committed recurring revenue as a means to better demonstrate the potential impact on revenue these unimplemented contracts have. Last quarter, our unimplemented quarterly committed recurring revenue was approximately $660,000, and it increased substantially to $1.3 million in the third quarter. From a future visibility perspective, we finished the quarter with approximately $75.9 million in revenue backlog, representing a 38% increase from the same period one year ago. It’s noteworthy that bookings in the quarter included a number of large sales that will necessitate large implementation efforts. Those contracts were written in stages such that we could begin recognizing revenue with each stage’s completion. That said, it will take longer for these contracts to reach their full run rate revenue than an otherwise smaller sale. In our earnings release and on our website at www.streamlinehealth.net, we have included a table reconciling our net loss to the non-GAAP financial measure of adjusted EBITDA. We define adjusted EBITDA as net earnings or loss plus interest and tax expense, depreciation and amortization of tangible and intangible assets, stock based compensation expense, and nonrecurring expenses such as severance costs. Given the relatively large amount of noncash charges and certain nonrecurring expenses, we feel that adjusted EBITDA is a more meaningful measure in understanding our underlying cash based earnings. Adjusted EBITDA for the third quarter was a loss of $278,000. The low professional services revenues negatively impacted adjusted EBITDA. Significant adjustments for the quarter beyond equity based compensation expense included $255,000 in severances, $235,000 in noncash charges arising from the closure of our Cincinnati office, and $115,000 related to our refinancing and change of lenders, as previously announced in a company press release on November 24. These nonrecurring charges all represent continued efforts to closely manage our cost structure and expand our ability to focus spending on primary growth drivers. Moving now to the balance sheet and our cash position, the ending cash balance for the quarter was up from the end of Q2 this year to $5.9 million. While year to date cash from operations remains negative, we have generated positive cash flow from operations in both Q2 and Q3. Via both continued expense structure rationalization and a number of large annual maintenance invoices in Q4, I fully expect to generate cash from operations in the final quarter of this year as well. Finally, I would like to briefly address the new credit facility with Wells Fargo that closed in November. We replaced Fifth Third as our primary lender, with a new $10 million term loan from Wells Fargo, the well-respected global money center bank. This new facility also includes a $5 million revolving line of credit. One of the provisions of the new facility requires Streamline to maintain $5 million in liquidity. Quite simply, as long as we maintain a minimum of $5 million in any combination of deposits and revolver availability, we will satisfy this new liquidity requirement. That concludes my remarks. I will now turn the call back over to Bob.
Bob Watson: Thank you, Nick. In closing, as I did last quarter, I’d like to give a brief update on the Veteran’s Administration scheduling opportunity that many of our analysts have written about recently. The procurement, known as the Veteran’s Administration Medical Appointment Scheduling System, or MASS Project, request for proposal was finally released, and we have until January 9, 2015 to complete and submit our entry. We will, as many of you know, submit a proposal in cooperation with Document Storage Systems Incorporated, also known in the industry as DSS. DSS is a well-established and trusted partner of the Veteran’s Administration, having integrated numerous third-party solutions with VistA, the VA’s electronic medical records system, including our own scheduling system. In our bid response, DSS will be the prime, and we are, of course, the supporting scheduling software partner. That said, I want to caution everyone yet again that while we are clearly actively pursuing this national procurement opportunity, it is very hard, if not impossible, to handicap the potential winner of a bid like this, given that this is a very, very visible decision by our government. We have not, and will not, speculate as to what the outcome might be. That said, I can say for certain, as I have said before, should we not win this bid, it will not be for lack of trying. As mentioned in our earlier release regarding our third quarter new contract bookings, the transition from perpetual license based revenue model to long term licenses or SaaS based revenue model has a direct impact on our top line revenue, which impacts our adjusted EBITDA as well. The fact that all of the $21 million in new bookings in the quarter were exclusively software as a service or long term licenses with no perpetual license revenue had an immediate impact on our top line revenue, as well as an impact on our adjusted EBITDA. Going forward, we plan to provide annual top line revenue and adjusted EBITDA guidance based solely on recurring revenues. Any perpetual license revenues generated in a quarter will be incremental to the revenue model. That said, we plan to provide guidance for our fiscal year 2015, which will begin February 1, 2015 and end on January 31, 2016, shortly after we close out this fiscal year. Our plan is to conduct a conference call by mid-February to review our 2015 estimates for recurring revenue and adjusted EBITDA. As you know by now, and as demonstrated again in our third quarter bookings, we continue to build this company for the long run, via a plan of measured, sustainable growth, to become the world-class healthcare information technology company that I know we can be. As always, I want to thank our entire team of associates for their hard work, dedication, and support of management’s strategic plan. This has been a complicated year for our associates, as we pressed, and continue to press them, to increase the velocity with which we work. Every single associate has responded. While the progress may not be seen immediately in our numbers reported today, I can assure you the material progress in our solutions, our processes, and our relationships with our clients has been made by our valued associates. For our associates listening to this call, and those still toiling on behalf of clients, thank you. I continue to believe that our vision and plan to deliver critically important solutions to our clients from our Looking Glass platform is timely, accurate, compelling, and right for the market. I will now turn the call over to the operator for our Q&A session. Operator? 
Operator: [Operator instructions.] We’ll go first to Matt Hewitt of Craig-Hallum Capital Group.
Matt Hewitt: Congratulations on the phenomenal bookings quarter. Obviously there was two large deals in there. Could you maybe give us some color on some of the incremental deals that were signed in the quarter? Maybe either which solution they were signed for, maybe the terms of those contracts? Any incremental help there would be helpful.
Bob Watson: I can give you some. It shouldn’t be a surprise to anyone that a majority of the activity in the quarter was related to the HIM CD encoding suite, given the looming date next October. So we continue to see significant activity there. Also, we have, as you know, still some legacy clients in the HIM ECM content management portfolio that are in line for upgrades, so those things are starting to process through as well. 
Matt Hewitt: And if there was an average size? There was maybe a dozen or so incremental deals beyond the big two signed in the quarter? Or are these larger than average?
Bob Watson: Frankly, some of them were smaller than average. It was a decent mix of activity, and sort of in line with what we’ve done historically when we’ve had our normal sales performance metrics that we’ve gone over through the past three and a half years I’ve been here.
Matt Hewitt: And then I guess the follow up to that, or the logical follow up, is we look at Q4, the pipeline there, how should we be thinking about bookings growth here in the fourth quarter? Was that the lion’s share you were able to get closed here in Q3?
Bob Watson: Look, Q3 was a special quarter in a lot of ways. Through the course of the year, one of the reasons I was reasonably adamant that we were going to exceed our 2013 bookings number was that we had some visibility on a few of these transactions that seemed fairly certain for us. So as we move into Q4, I would certainly not set the expectation of a similar quarter in Q4. I think we’ll return to more normal ranges of reporting from our sales organization. 
Matt Hewitt: Maybe a question for Nick. You had a great quarter of working down the DSO. By my math, you’re down to 78 days from 132 last quarter. How much more room do you have to go on that front? Is that something you could get down into the 50 to 60 days? Or have we kind of bottomed out here, especially given the size of the bookings in Q3?
Nick Meeks: It’s within the range of possibility, Matt. One of the things is Q4 is always a big invoicing quarter for us. We’ve got a fair number of maintenance renewals that trigger in Q4 that will spike AR in the near term. But I think there’s progress yet to be made. We’ve got some major receivables out there that we continue to work down. DSO in the 50s makes me a little nervous, but I would expect it to continue to improve in Q4. How about that? 
Matt Hewitt: That’s great news. One last one for me. One of the two large deals signed in the quarter was with a group that is hoping to go out and kind of utilize their platform to sell into additional health systems. Those could obviously be large deals. How should we be thinking about the cadence of, or when should we be looking for you to sign your first deal with that group? 
Bob Watson : The performance of that channel partner is a little hard for us to forecast. I think their own expectations are that they’ll do one or two deals a year. We’d expect to be part of that when those deals happen. As you can imagine, the types of transactions they’re entering into are very, very large and very, very complicated. So I wouldn’t set the expectation that we’d see anything in the near term, but in our own internal forecasting, we’re sort of settling in on a high likelihood of one deal and then the next fiscal year, possibly two.
Operator: And we’ll go now to James [Oh] of Cowen & Company. 
James Oh: My question is regarding the $28 million that you guided to for the remainder of fiscal 2014. As I recall, you guys mentioned that it does not include any more perpetual license based revenue for the remainder of the year. So given that 10% was perpetual license revenue this quarter, could we expect more like $28.7 million, closer to $29 million, for the remainder of the fiscal year?
Bob Watson : That’s in the zipcode, right, of where we expect it to be.
James Oh : And also, you guys have been talking about 70% in cross selling and sales bookings. How have you guys trended toward that so far for year to date? 
Bob Watson : With obviously the NantHealth transaction, it was a relatively sizable net new client…
James Oh : Maybe excluding NantHealth?
Bob Watson : Excluding NantHealth, we’re running at north of 70% cross selling, which was our target. 
James Oh : Lastly, any update on the [Sentra Med]? I haven’t come across any news on it closing.
Bob Watson : As of today, closing additions have yet to be met. We continue to work with them to get to a position where those closing additions are met, and once we’re there, we’ll either close the transaction or not, if we get there. So we’re trying to wrap this up hopefully by the end of the fiscal year. 
Operator: And we’ll go now to Frank Sparacino of First Analysis. 
Frank Sparacino: Nick, maybe first for you, just in terms of cash flow, I think you indicated Q4 would be positive. But when you look at the full year, would you expect to generate positive cash flow from operations?
Nick Meeks : Yeah, Frank, I expect it to be nominally positive. I don’t think we’re going to hit a massive home run in the fourth quarter that’s the number I was looking for at the beginning of the year. But I think it will be positive rather than negative.
Frank Sparacino : And then maybe Bob, just going back to your earlier comments around market sizing, if you look at ECM and you look at financial analytics, there hasn’t been a lot of new bookings this year on either of those fronts. So could you just comment what you’re seeing in the marketplace? While those are growing industries, I don’t know what the issues are this year in terms of generating new sales activities. 
Bob Watson : I think there’s a couple of things at play here. One, again, echoes something I said in response to Matt Hewitt’s question. You’d expect that this year, and as we move into the first half of 2015, to be heavily weighted towards our coding and CDI assets. That’s just a significant market driver. As it relates specifically to ECM, again, that market is fairly mature and most of our current clients have a solution, whether it’s us or somebody else. So any activity in that space is likely to be net new, and will likely be around someone making a late term switch in their EMR vendor. And as you do, when you listen to the calls of the EMR vendors, they’ll tell you they’re certain some of them expect some churn in the EMR space over the next couple of years. That churn is a positive for us. So I think we’ll see some activity in that particular solution set as we move into the second half of 2015. If we look at the financial analytics space this year, I think for not only ourselves, but some of our vendor colleagues, has been a bit challenged and primarily because I think the focus has been still on trying to close out the last pieces [of meaningful use]. Those dollars go away in 2015. Finishing those EMR upgrades and frankly, taking a look at what’s happening in the coding space, because of the ICD-10 issue. But again, we expect to see some more traction in that as we move into 2015 and 2016. 
Frank Sparacino : And just last for me, how should we think about the maintenance line going forward in terms of where it goes?
Bob Watson : Well, maintenance in general should have some nominal increase, because of cost of living adjustments and other activities like that as we go through. Also, as we roll out some additional deployment of workflows into those clients, you’ll see some sales that will generate additional revenues for us as well, and as we try to go deeper and broader inside those clients that have historically been perpetual license clients. Because some of our large health systems just frankly are not going to buy on a SaaS basis. They’re going to find the cash to do it on a perpetual license basis. You’ll see some of that activity, but on the point I made in the transcript today, we’re not going to guidance to that kind of revenue on the perpetual side. 
Operator: We’ll go next to Richard Close of Avondale Partners. 
Richard Close: I was wondering if you could go over, I guess Nick specifically, how you think about, in 2015, the larger contracts will roll out in terms of how you’ll be able to recognize revenue, or the schedule of recognizing revenue. If you could give us some idea on that front.
Nick Meeks : It’s not perfectly predictable. I’ve got a fair sense for revenue turning on relatively early in the next fiscal year, but how large it gets before the end of next fiscal year is a little bit harder to time out. We started the deployment for both of them, so I think we’ll see revenue very early in the fiscal year from both of those large deals, but they both have scope to increase dramatically in size from the first point of revenue recognition to their run rate. 
Richard Close : So is there any type of schedule in terms of a certain number of hospitals, a certain number of tranches? Anything to help us as we think about revenue build in 2015? Is there anything you can share on that? 
Nick Meeks : There is, but it hasn’t been disclosed.
Richard Close : How should we think about system sales, professional services, and the margins on those line items? I know they’ve been running at negative gross margins there, but how should we think about those lines going forward? 
Nick Meeks : So we’d certainly like to see professional services creep back up to even a nominal margin, in say the 20% range. One of the challenges with SaaS deployments is even though we can defer some piece of cost that’s directly attributable to the project to match the revenue stream, the average billable hours that come from a professional services person is maybe 50% to 60% of their time. You know, 40% to 50% of that time is non-directly attributable to a project. That’s not to say they’re wholly inefficient, but they’re traveling, they’re planning the next stage of whatever they happen to be working on. That’s time that I can’t defer. So at a bare minimum, I’m eating almost a 50% overhead when we’re predominantly SaaS focused in that organization. 
Richard Close : And then what about on the system sales side? 
Nick Meeks : System sales is where we’re booking the great majority of our intangible software amortization, and right now, it’s got a nominal amount of term license revenues that we’re actually going to split out of that going forward. And so the only thing that would hit that line item would be third-party stuff which is fairly nominal, and any perpetual licenses, which shouldn’t be very large. That creates a very lumpy margin profile for that line item. 
Richard Close : Jumping back to the larger contracts, the channel partner and I guess it’s NantHealth is the other one, can you talk about what you guys are required to bring to the table with respect to implementations and are there any questions or concerns in terms of being able to deliver on those requirements?
Bob Watson : The deployment, in the case of the channel partner, is a fairly standard measured deployment set group of hospitals in each tranche. It’s something we do on a regular basis. It should be fairly orderly and while it will consume a fair number of headcount, not anything that will throw us out of our normal cadence in our implementation group. In the case of Nant, it’s a little bit different as the first two installs are essentially learning to teach their team fundamentally how to do it themselves going forward. So as Nick pointed out, we’re in the early stages of implementation for both organizations. So we’re starting to make some headway on that. 
Richard Close : And my final question would be you’ve had some management changes over the course of the year, and I guess the new COO has had about a quarter under his belt. Can you just give us an update of where you think you are from an organizational standpoint? Any improvements or any steps back that have occurred since we last talked? 
Bob Watson : No, actually, I think we’ve seen significant improvement across the board on the operating side of the business. In addition to David joining us at the start of this quarter, in the middle of the second quarter we added a person at the vice president level that’s now had six months here. I think he’s organized his teams thoughtfully, and with David’s oversight and management, I think to the point I made in the call is that we’ve challenged our associates the entire year to increase what I call our velocity of work. And I think we’re starting to see the impact of it. It doesn’t necessarily play out in the near term financials, but it certainly plays out in terms of client satisfaction, our relationship with our clients. I mean, you were in New York a couple of weeks ago. You saw three clients who spoke very, very highly of what we do, and I think that’s reflective of not only the quality of the technology, frankly, but also the quality of the people in terms of building our relationships with those clients. So I think good forward progress. The other significant add to the team in the middle of Q3 was a vice president for strategic accounts, taking responsibility for our million dollar plus clients, and we have a fair number of those. So, again, it’s a concerted, focused effort from the sales organization around continuing to mine our current client base for growth. And as James Oh asked me earlier, how we perform on our target of 70% cross selling, I think we’re, again, taking Nant off the table, we’ve done very well on that metric this year and continue to press our sales organization to stay focused on that. 
Richard Close : As you think about the pipeline and some of these larger deals coming out of the pipeline, I know you said you’d probably be back to the level of bookings you were at before, if I’m not mistaken, before those two large deals. Can you talk in general in terms of the size outlook for the pipeline now that those deals are out? Are there any other large deals out there that you’re looking at besides the VA that you’re bidding on? And maybe an update on the quality and size of the pipeline?
Bob Watson : We’ve been very successful this year in finding opportunities that are fairly large, fairly complicated, and by nature take a long time to close. So they get in the pipeline, they take a while to move through it. There are still some of those transactions moving through the pipeline. As I mentioned I think in the conversation with Matt Hewitt earlier, we do expect our channel partner to generate at least one sizable transaction in the next fiscal year. And two would be nice, but we feel pretty good about one. Fairly certain on one as we work through the opportunities with them. So the pipeline continues to grow. I think we’re not going to live or die by the big deals. Those are nice things to have to get through the course of the year. We still need to continue to deliver the singles, the ground rule doubles, and the triples along the way, and we incent our sales organization to do just that. 
Richard Close : But is there a large number of those singles and doubles in the pipeline?
Bob Watson : Yes, sir. 
Operator: And we’ll go now to Bruce Jackson of Lake Street Capital Markets. 
Bruce Jackson: Getting back to the VA contract, is that going to be a SaaS agreement potentially?
Bob Watson : It will not be. It will be a license opportunity just because of the nature of the way in which the Veteran’s Administration plans to deploy it. And for security reason, a whole bunch of other reasons, it will be done that way. 
Bruce Jackson : And then have they indicated to you when they might make a decision on that RFP?
Bob Watson : If you remember, since we’ve been talking about this particular RFP for the last four quarters, they repeatedly gave us dates when they were going to release the RFP, and that date kept moving. So likewise, the date that they’ve given us when they’re going to make a decision, while they’ve given us one, I find it unlikely that they’ll meet that date. This is going to be a very complicated decision for them, just given the politics and the visibility and particularly the Congressional level visibility. So their expectation is to make a decision in our fiscal Q1. And like I said in the transcript, I just don’t know how to handicap it. 
Bruce Jackson : So they may say spring, but it may be more like summer or when they get through the details. Then shifting over to the number of go-lives in the quarter, you’ve been doing about two or three per quarter so far this year. What was the number of go-lives this quarter?
Bob Watson : It was two in this quarter.
Bruce Jackson : And last question, on the acquisition, do you have a number for how much [Unibase] contributed to the quarter? 
Nick Meeks : $458,000.
Operator: And we’ll go now to Jack Wallace of Sidoti & Company. 
Jack Wallace: With the elephants you guys were able to bag in the quarter, some of the other analysts have really asked around this question, but I want to ask it directly. With the IT capabilities, with those two larger wins, are they on par with what you’ve seen in the rest of the industry? And then second, is your team at this point now large enough to go ahead and meet the implementation demand as well as the rest of the projects that are currently being implemented?
Bob Watson : I’m not sure I understand the first part of your question clearly, so I’ll ask you to come back to that. So the second part of the question is do we feel that we have the implementation resources in place to be able to install these opportunities in an orderly fashion? And the answer is yes. 
Jack Wallace : Because you mentioned, because these are larger projects, that the implementation timeline will be a bit longer. But obviously as you’ve said in previous quarters and other conversations we’ve had, that there are other IT items going on in house, and the question being, will they be focused on this project more so than, say, some of the other clients in the pipeline? 
Bob Watson : Got it. So, the answer is, in the case of our channel partner, we expect them to be more focused on this implementation than a normal client would be. We’re replacing another vendor. Those contracts with that other vendor expire over the next 18 months, and our installation is mapped to the expiration of those contracts with the other vendor. So there is a natural momentum to that particular opportunity. In the case of NantHealth, as I said earlier, we’re going to install a couple of instances, train them to install it, and it’s their responsibility going forward. 
Jack Wallace : And then lastly, I think you guys mentioned that one or both of those opportunities had already started to, whether it was go-live or there was some initial activity there. If you could tell us, in specifically those two projects, how many go-lives have there been at this point here in the fourth quarter.
Bob Watson : We just started the implementation process, so there have not been any go-lives yet. We continue to work diligently, as Nick pointed out in his prepared remarks today, that we structure those particular agreements so that there were tranches that allowed us to get in a position to recognize some revenue earlier in the process than we’ve done in a normal installation. And as those projects get deployed, we’ll be sure to make note of the fact that we’ve had a certain number of deployments or go-lives as it relates to both of them. 
Operator: And it appears there are no further questions from the phone lines at this time. I would now like to turn the conference back to Mr. Randy Salisbury for any additional or closing remarks. 